Operator: [Foreign Language] Welcome to Cascades, Inc. Conference Call for the Fourth Quarter and Full-Year 2014 Financial Results. At this time, all participants are in a listen-only mode. Following today’s presentation, there will be a formal question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Riko Gaudreault, Director, Investor Relations and Business Strategy. Mr. Gaudreault, you may begin.
Riko Gaudreault: Thank you, operator, and good morning, everyone. Welcome to our conference call for the 2014 fourth quarter and full-year results. With me today: Mario Plourde, our President and CEO; Allan Hogg, our CFO. Patrick Chaperon is with us today, our Vice President, Finance for the Containerboard Group. Patrick is replacing Marc-Andre Depin, who could not be available today. Luc Langevin is also with us, the President of our Specialty Products Group; and Jean Jobin, President of our Tissue Group. Mario will begin with his comments followed by Allan and the group’s representatives. The review of our operations in Europe will be covered by Mario, and our CEO will also be back for the conclusion following the question period. During this call, certain statements will discuss historical and forward-looking matters. Please note that the accuracy of these statements is subject to a number of risk factors. These factors, which are listed in our public filings, can have a material impact on our actual results. Also, these statements as well as the investor presentation and press release, which are posted on our website, include data that are not measures of performance under IFRS. You should also note that the quarterly results of Reno De Medici were released on February 12th and can be reviewed on Reno’s website. I would like to remind the media and Internet users that they can only listen to the call. If you have any questions, please feel free to call us after the session. I will now turn the call over to Mr. Plourde Mario, please.
Mario Plourde: Thank you, Riko, and good morning, everyone. Earlier this morning we released results for the fourth quarter of 2014. And as expected we cannot repeat last year performance. Excluding specific items our EBITDA of $82 million is to represent lower than Q3 and 17% lower than last year when we adjust for discontinued operations. It is important to note however that our cash flow from operation of $73 million was 22% higher than during the same period last year. On the EPS front our net earnings excluding specific items were $0.08 per share in Q4 compared to $0.04 in Q3. However, the reported Q4 EPS was a loss of $0.51, mostly related to the divestiture and impairment charges during the quarter. Allan will discuss these non-cash items in more details later. On a segmented basis we are particularly encouraged with the performance of our Containerboard Group. The investment undertaken over the last few years are starting to pay off and this sector continue to benefit from improving market conditions. This group EBITDA improved by 15% in 2014 compared to last year. It’s also realized an important strategic move by divesting its boxboard activities allowing the team to focus strictly on the containerboard. On the European boxboard group, also significantly improved its performance in 2014, despite lower than expected EBITDA in Q4; when result were compared by lower prices and the ramp-up of the new equipment in Santa Giustina mill. As usual the specialty product group was impacted by lower seasonal demands in Q4. The Tissue Papers Group continued to face difficult market condition as well as start-up costs related to the new paper machine on the West Coast and the new converting facility in North Carolina. The Tissue Group will continue to be challenged in the first quarter of 2015 due to additional downtime for equipment maintenance and upgrade. Finally, the Greenpac mill significantly increased average production during the fourth quarter and continue the deployment of lightweight grades. This mill’s EPS contribution excluding specific items stood at $0.01 for Q4. Now, quick words on fiber. The market for brown grades continued to be soft following the price decrease of 8% on average for a second consecutive quarter. We do not foresee major changes in the short-term for OCC as the seasonal demand pick-up from Asia buyer is behind us. Prices for white grades increased slightly but generation has picked up over the last few weeks which should stabilize pricing before summer. For pulp, nothing to signal during the fourth as average prices remained relatively stable. Looking at our KPIs, we continued to improve on all front for this period of the year. I will now let my colleagues give you more specific information starting with Allan and I will be back later to cover Europe and our outlook. Allan.
Allan Hogg: Yes, thank you, Mario, and good morning, everyone. Once again, we have restated our previous per year numbers following the announcement in December of the sale of our North American boxboard activities. The results in cash flows are which are reclassified as discontinued operations. Remember, we also reclassified earlier this year the results and cash flow of our fine paper activity and of our Djupafors and East Angus paper mills. We have included on Page 10 a table which reconciles some key figures. Page 11 shows the year net earnings excluding specific items. You can see that our discontinued operations accounted for $87 million of the net loss for the year. Compared to last year, sales were up 4% to $879 million due to favorable exchange rates and volume increases in our containerboard and tissue activities, which were offset in part by lower average selling prices in Europe and in our tissue segments. Sequentially, despite favorable exchange rates, sales decreased 3% due to lower average selling prices in our containerboard operations and lower tissue volume. EBITDA for the fourth quarter is down 17% or $17 million compared to last year. The decrease is due to $4 million less of energy credits in Europe combined with lower selling prices and start-up costs in our tissue business. Last year fourth quarter results were also positively impacted by a $5 million pension liability adjustment in containerboard. Sequentially our EBITDA is down 12% or $11 million. Our Tissue segment could not repeat its strong performance of the last quarter as volume decreased by 6%. Lower average selling prices in our containerboard activities due to seasonality mix also impacted our results. Slide 15 and Slide 16 illustrate the impact of specific items that affected our results during the quarter when we recorded impairment charges on assets in Europe in our Specialty Products Group. We also recorded a $5 million provision following a transaction loss on settlement in our Containerboard business. Under the terms of this settlement agreement we agreed to pay US$4.8 million into a settlement fund in return for the release of all claims of the alleged transaction without any ammunition of wrongdoing on the part of Cascades. The exchange rate also lead to a loss on our long-term debt for $13 million and we also recorded an after tax loss of $25 million in our discontinued operations mainly coming from the sales of our North American boxboard assets. Remember that during the third quarter, we carried out an internal transaction to optimize the capital structure of our U.S. and Canadian subsidiaries resulting in a one-time withholding tax provision of $14 million or $0.15 per share which will be recovered over time. Moving to page 17, cash flow from operations amounted to $73 million in the fourth quarter. It is worth mentioning that our usual interest payment of December has been postponed to January 2015 as a result of our refinancing last June. Capital expenditures payment were impacted by the depreciation of the Canadian dollar and amounted to $55 million during the period. Net debt decreased by $27 million during the quarter despite an increase of $31 million due to the exchange rate. For the year, net debt remains stable despite the depreciation of the Canadian dollar which added $64 million to our debt during the year. Capital investments for the year were mainly done in our Tissue segment for the new paper machine in Oregon and the new converting plant in North Carolina and in Europe for the machine rebuild in Santa Giustina. Note that the funds from the sale of our North American boxboard assets were received in early February and are not included in our debt at the end of December. In terms of financial ratios, considering the sales of these assets our net debt to EBITDA adjusted ratio remains stable at 4.6 times at the end of the quarter. Finally, on Page 20 for those of you who are interested, we are introducing a new index to illustrate the spread of our North American manufacturing and converting operations of containerboard and tissues. This is only a portion of what is impacting our performance. It does not include all the cost components and the effects impact on our profitability. Thank you for your attention and I will ask Patrick to discuss the results of our containerboard group.
Patrick Chaperon: Good morning, everyone. Thank you. Allan. Before I start, please note that all numbers exclude our boxboard activities which were sold to Graphic Packaging on February 4. All boxboard numbers are presented as discontinued operations. During the fourth quarter of 2014, the containerboard group shipment reached 277,000 short tons, representing a sequential decrease of 3%. The shortfall in volumes comes from our converting activities. As expected, with the seasonal slowdown shipments have sequentially decreased by 8%. This performance compared to a decline of 5% for the Canadian industry. The difference can be explained mainly by Norampac being a larger producer of boxboard for the produced market segment in Canada, which is more exposed to seasonality. In our manufacturing activities the fourth operating rate averaged 90%, compared to 94% during the previous quarter. The 4% reduction is largely due to the December statutory holidays, has translated into a reduction of 8,500 short tons in the mills’ overall shipment. On the other hand, with lower seasonal internal demand from our box plants, the mills were able to increase their external shipment by 5,700 short tons or 5%. On the pricing front average selling prices decreased by CAD18 per short ton as a result of exchange in our product mix. Indeed, the higher contribution of the mills in the overall shipments and the decrease in the proportion of waxed products within our converting activities, both negatively impacted our average selling price. On the other hand, the weakness in the Canadian dollar helped to partially reverse the mixed effect. Despite the seasonal slowdown the Containerboard Group realized an EBITDA of $44 million in the fourth quarter of 2014 and a slightly lower number than during the previous quarter. Our fourth quarter EBITDA of $44 million represent a margin of 15% on sales, in line with the previous quarter. If we look at the margin of our manufacturing activities separately, it reached 24% for the quarter, an increase of 4% from the third quarter. As mentioned before, volume in average selling prices decreased on a sequential basis subtracting $13 million from the EBITDA. On the other hand, raw material costs went down by $5 million, following a decrease of $10 per short ton, in recycled fiber prices a higher proportion of rolls in the overall shipment. Lastly, a weak Canadian dollar translated an additional $2 million of profit. With regards to the short-term outlook, we should continue to benefit from the improving economic environment in the containerboard market. Demand in the U.S. remains robust and we should continue to benefit from the weakness of the Canadian dollar. In the coming quarter, we should also benefit from normal seasonal pick-up. Finally, a word on the Greenpac mill. In the fourth quarter, Greenpac produced 111,000 short tons of linerboard, representing an improvement of 3% compared to the previous quarter, when we exclude the impact of the extraordinary event of Q3. Consequently, we issued $1 million of net earnings, excluding specific items, representing $0.01 of EPS in our results. We are gradually increasing the proportion of value-added products as market receptivity for lightweight grades is good. Thank you for your attention. And I will now ask Mario to give you an overview of our boxboard operations in Europe.
Mario Plourde: Thank you, Patrick. In Europe, the fourth quarter is usually stronger than the third, but unfortunately, this year, it was not the case. The main reason beyond the sequential decrease is the ramp up of the new machine at Santa Giustina mill in Italy, which impacted volume and costs. Compared to last year, result of the Boxboard Europe grew, were not as high due to the fact that the energy credits were unusually high in Q4 2013, representing a shortfall of $4 million. Looking more precisely of the results, sales increased by 2% to reach $196 million, slightly higher shipment in our two markets counterbalance lower selling price in Canadian dollars. In Europe, average prices were 1% higher, despite a decrease in price of the recycled grade at the end of the year. Despite an increase in sales, EBITDA remains stable during the quarter at $14 million due to higher costs of raw material. EBITDA margin also remained at 7% of sale during the fourth quarter. Looking ahead, the order inflow is expected to be good in the short-term and the backlog at the end of the year of 2014 was satisfactory. Shipments should improve in 2015, as we continue to ramp up the Santa Giustina machine over the next few quarters. We expect sales prices, raw material costs, and energy costs to remain stable or decrease only slightly. On the strategic front in keeping with the - its objective of focusing resources and facility that are more efficient and present higher growth potential, Reno was announced that its mill in Spain is no longer a strategic asset for the group. Negotiation with potential buyers are in progress at this asset - and this asset should be sold during the course of the year, the expected proceed will not be significant. I thank you, and I will ask Luc to follow up with the overview of our Specialty Product group.
Luc Langevin: Thank you, Mario. Sales for the Specialty Products group declined to $128 million, compared to $145 in Q3, representing a 5% sequential decrease. These reduced sales were expected as we typically experienced lower seasonal demand in Q4. However, our top line improved by more than 2% from the same quarter last year, when we exclude discontinued operations. On a sequential basis, the positive impact of weaker a Canadian dollar was not sufficient to offset the combined impact of lower seasonal volumes in most of our segments and lower selling prices in our recovery segment, compared to Q3. We completed the fourth quarter with an EBITDA of $10 million, which represents $2 million decrease from the previous quarter. This negative variance results mainly from lower volumes observed during the quarter. Looking more specifically at our four sub-segments, our industrial packaging activities delivered stable results, slightly lower volume were offset by reduced operating costs. Our Consumer Products Packaging segment also maintained sympathy. The impact of typical lower seasonal demand was totally offset by the improved spread mainly resulting from price increases. Please note that resin prices have also started to decline during the quarter - during the period. As for our other activities, the EBITDA declined by $1 million sequentially, lower volume and increase in energy cost negatively impacted results. The EBITDA of our recovery and recycling division also decreased by $1 million in Q4, reflecting the state of the recycled paper market. Although no significant variation in volume was observed in this quarter, the segment was negatively impacted by slightly declining OCC prices and increased fixed costs. Looking to the near-term, we remain prudent based on the following variables. We typically deal with lower recycled paper generation during the first quarter and higher energy costs. Our Consumer Packaging Product segment should benefit from reduced resin costs, although it could still be partly impacted by seasonal volume weakness. Volume should pick up for the other segments. Thank you for your attention. And I will now ask Jean to present the results of the Tissue Paper group.
Jean Jobin: Thank you, Luc. Good morning, everyone. The current market transition continued to be challenging for the group. The decrease in shipment was the most important factor explaining the fourth quarter performance. The usual seasonality in Away-from-Home segment, difficult condition in the retail, and parent roll market explained the decrease in shipments. Sales for the fourth quarter were 3% lower than during the previous one. A 6% decrease in shipment was offset by higher average selling price essentially linked to the 4% favorable movement of the exchange rate. The Away-from-Home segment has been impacted by the usual year-end seasonality, resulting in a 9% volume reduction compared to the previous quarter. This phenomenon equally impacted Canadian and U.S. market. In the Retail segment, shipments were 6% lower than the last quarter, mainly due to the aggressive national brand promotion activities. Our parent roll shipment have also been impacted by seasonality and were sequentially lower by 6%. The imbalance between supply and demand still represent a challenge in order to avoid excess inventories, some exceptional market shutdown were taken in December. As for profitability, we delivered $21 million EBITDA, or an 8% margin on sales, compared to $32 million and a 11% margin on sales last quarter. The erosion is in sequential profitability is largely driven by lower volume, by parent roll and converting production shutdown. The startup of the New Oregon paper machine has also had an impact on our fourth quarter results. We are pleased to say that the equipment performance is now in line with our original project plan and continues to improve on a daily basis. Even if we expect a soft quarter, we are now looking forward to 2015. We are finalizing two major initiatives, such as the ERP implementation and the ramp up of our new paper machine on the West Coast. In addition, during the next six months, most of our major project that we launched to optimize our converting platform, such as the Wagram facility will be essentially completed and we will focus on growing the business. Thank you. I will now turn the call back to the operator. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mr. Bill Hoffmann from RBC Capital Markets.
Bill Hoffmann: Yes, good morning. Just a couple of questions on the tissue side, I wonder if you could just talk a little bit about the converting plant in North Carolina, where you are in process of ramping that up and from an operational standpoint? And then second is, with regards to tissue, you talked about the downtime of production in Q4, I just wonder how is your operating in Q1 on the tissue side, just to balance inventories and demand?
Jean Jobin: Yes, thank you, Bill, for your question, Jean Jobin speaking here. So Wagram facility, we have actually 60% of our capacity that is already running. The rest of the capacity that we’re planning for this year will be running by Q2 - by the end of Q2. Concerning the second question which was the - second time that down-time we took in December. December was approximately 6,500 tons total paper machine and converting, and in January we’re approximately at 4,000 ton shutdown that we took.
Bill Hoffmann: And do you expect - just from a downtime standpoint, do you expect to have to continue that kind of plan this year, or what sort of the outlook in the tissue markets from a production standpoint?
Unidentified Company Representative: Well, on our side, what we’re going to do is, we’re going to imagine our capacity, we’re going to make sure that the working capital is in control, so we’ll see how the volume will be cut, it’s too early on our side to enter that actually.
Bill Hoffmann: Thank you.
Operator: Our next question comes from Mr. Amir Patel from RBC Capital Markets.
Amir Patel: Hi, good morning. I had a few questions for Patrick. We saw the RISI drop being medium benchmark price by $10 per ton in February. Have you seen that shift in your business in the last month, or was that really just catch-up in the benchmark for maybe what was going on in the market over the last few months?
Patrick Chaperon: We have not seen on our side significant changes on our selling price, so I think your option is the good one.
Amir Patel: Okay, great. Thanks. And just the final question I had was, could you comment on your box shipments in February in both Canada and the U.S.?
Patrick Chaperon: So far since the beginning of the year booking is good and demand is good, so we hope for the best for the coming months.
Amir Patel: Thanks. That’s all I have.
Operator: [Operator Instructions] Our next question comes from Mr. Frederick Tremblay from Federal Bank.
Frederick Tremblay: Thank you from National Bank. Just a question on the containerboard, we saw one of your competitors announced their price increase couple of weeks ago, just wondering what you’re seeing in the market in terms of implementation of that price increase or if you think it’s too early to go to market to implement that increase?
Unidentified Company Representative: Unfortunately, I’m sure you’re going to understand, we cannot comment any pricing right now, so we are analyzing all options.
Frederick Tremblay: Okay. And then maybe just in terms of your CapEx budget for the year, I think somewhere in the press release you mentioned that you’re going to have lower CapEx this year?
Patrick Chaperon: Yes, we’re budgeting to have a CapEx in the low of $160 million that maybe affected by the exchange rate. But as we speak now, it’s $150 million for the year.
Frederick Tremblay: Okay. And just coming back to tissue, in terms of the Away-from-Home, what’s the status of the price increase that was announced last year, has that been implemented as of January?
Jean Jobin: We have implemented part of that in specific markets, but not everywhere and not to the full extent.
Frederick Tremblay: Okay. Thank you.
Operator: We have no further questions at this time. I will now turn the call over to Mr. Mario Plourde for closing remarks. Mr. Plourde?
Mario Plourde: Thank you, operator. 2014 was a year of intense activity during which we completed several strategic initiative design to move us towards our goal of rationalizing and modernizing our asset base. These moves are now behind us and we can now look forward to improved result in 2015. We are still expecting challenging condition during the coming year in the tissue sector, but other drivers should be provided better conditions. Our new tissue sides in the U.S. will gradually add to our results, demands for packaging products seems good to start the year and we should benefit from favorable exchange rate, stable recycled fiber costs, lower oil price, and economic recovery in the U.S. In addition, the Greenpac mill will make a contribution to our net result for the full first-year in 2015. The sudden depreciation of the Canadian dollar at the end of the year, they are close to $100 million of proceeds from divestiture, working capital improvement, and prudent cash flow management, we would have allowed us to reduce our indebtedness in 2014. However, if the foreign exchange situation prevails in 2015, our cash flow will improve and coupled with lower capital expenditure this year, we should continue to improve our leverage ratio. We thank you for your support and we wish to remind you that our General Meeting and Shareholder and Q4 result release will take place in May 7. Have a nice day.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.